Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Westlake Chemical Partners' First Quarter 2016 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. After the speakers' remarks, you will be invited to participate in a question-and-answer session. As a reminder, ladies and gentlemen, this conference is being recorded today, May 03, 2016. I would now like to turn the call over to today's host, Ben Ederington, Westlake Chemical Partners’ Vice President and Chief Administrative Officer. Sir, you may begin.
Ben Ederington: Thank you. Good morning, everyone, and welcome to the Westlake Chemical Partners first quarter 2016 conference call. I’m joined today by Albert Chao, our President and CEO; Steve Bender, our Senior Vice President and Chief Financial Officer, and other members of our management team. The conference call will begin with Albert, who will open with a few comments regarding Westlake Chemical Partners performance in the first quarter, as well as a current outlook on our performance and opportunities. Steve will then provide a more detailed look at our financial and operating results. Finally, Albert will add a few concluding comments, and then we will open up the call up to questions. During this call, we refer to ourselves as Westlake Partners or the Partnership; references to Westlake Chemical refer to our parent company, Westlake Chemical Corporation and references to OpCo refer to Westlake Chemical OpCo LP, a subsidiary of Westlake Chemical and the Partnership which owns certain olefins assets Today, management is going to discuss certain topics that will contain forward-looking information that is based on management's beliefs, as well as assumptions made by and information currently available to management. These forward-looking statements suggest predictions or expectations and, thus, are subject to risks or uncertainties. Actual results could differ materially based upon many factors, including operating difficulties, the volume of ethylene that we are able to sell, the price at which we are able to sell ethylene, changes in the prevailing economic conditions, actual and proposed government or regulatory actions, competitive products and pricing pressures, our ability to borrow funds and access capital market, and other risk factors discussed in our SEC filings. This morning, Westlake Partners issued a press release with details of our first quarter financial and operating results. This document is available in the press release section of our webpage at wlkpartners.com. A replay of today's call will be available beginning two hours after completion of this call until 11:59 PM Eastern Time on May 10, 2016. The replay may be accessed by dialing the following numbers; domestic callers should dial 855-859-2056; international callers may access the replay at 404-537-3406. The access code is 90231034. Please note that information reported on this call speaks only as of today, May 3, 2016, and therefore, you are advised that time-sensitive information may no longer be accurate as of the time of any replay. I would finally advise you that this conference call is being broadcast live through an Internet webcast system that can be accessed on our webpage at wlkpartners.com. Now, I’d like to turn the call over to Albert Chao. Albert?
Albert Chao: Thank you, Ben. Good morning, ladies and gentlemen and thank you for joining us on our earnings call to discuss our first quarter results. In this morning's press release, we reported consolidated net income, including OpCo’s earnings of $103 million for the first quarter of 2016; Westlake Partners' income was $12 million. We’re very pleased with OpCo' first quarter performance, our results continue to demonstrate the strength and stability of the sales agreement with Westlake Chemical and the efficiency of our operations. We continued to deliver solid results in the phase of challenging energy markets. In mid April, we began our 250 million pound ethylene expansion and a turnaround at OpCo's Petro 1 facility in Lake Charles, Louisiana. We continue to be on schedule and expect a shutdown to last for approximately 80 days. On April 27, 2016, we announced an increase in distributions to our unitholders with respect to the first quarter of 2016, and maintained a coverage ratio of 1.11 times the declared distributions. This 2.9% increased in distributions is the fifth consecutive quarterly increased in distributions to our unitholders since our initial public offering in August 2014, and remains consistent with our targeted annual low double-digit growth in distributions. In regards to the IRS proposed regulations governing qualifying income for Master Limited Partnership, we participated in the IRS hearing on this matter in October 2015, presenting our view that our activities are clearly within the plain reading of the statute. We believe that the IRS interpretation of the law while issuing our private letter ruling was and still is correct, and we’ll continue to make at this point with the IRS and treasury. I would now like to turn our call over to Steve to provide more detail on the financial and operating results for the first quarter. Steve?
Steve Bender: Thank you, Albert, and good morning, everyone. In this morning's press release, we reported consolidated net income including OpCo’s earnings of $103 million on consolidated sales of $253 million for the first quarter of 2016. Westlake Partners' net income was $12 million or $0.45 per limited partner unit. We also reported MLP distributable cash flow of $10 million for the first quarter. First quarter net income for Westlake Partners increased by $3 million or $0.14 per limited partner unit when compared to first quarter 2015, this increase was due to the additional 2.7% interest in OpCo acquired by the MLP in April 2015. MLP distributable cash flow of $10 million was $1 million higher from the first quarter 2015, this increase was due to the additional 2.7% interest in OpCo acquired by MLP in April 2015, partially offset by increased maintenance capital associated with our ongoing turnaround and expansion project at our Petro 1 facility. Partnership’s first quarter 2016 net income of $12 million was $1 million or $0.05 per limited partner unit, higher than fourth quarter 2015. MLP distributable cash flow was $500,000 lower than fourth quarter MLP distributable cash flow. This decrease in MLP distributable cash flow was result of increased maintenance capital expenditures associated with Petro 1. The benefit from the long-term ethylene sales agreement with our sponsor Westlake Chemical is the stable fee-based cash flow. This contract represents 95% of our ethylene sales and protects the partnership’s cash flows from marching volatility that can be associated with the ethylene business. This ethylene contract which is structured to generate a margin of $0.10 per pound of ethylene along with the take or pay provisions incentivizes to continue to look for opportunities to increase capacity in operating rates. Along with our ongoing 250 million pound ethylene expansion of our Petro 1 plant at our Lake Charles facility, we also recently announced an expansion of our Calvert City, Kentucky facility which we expect to complete in early 2017. This expansion in addition to other incremental capacity increases will bring our annual ethylene capacity at Calvert City to 730 million pounds. For the first quarter 2016, OpCo spent $79 million in capital expenditures as we completed preparations for the expansion of our Petro 1 plant. As Albert stated, this 250 million pound expansion begin in mid April will be completed early in the third quarter. Due to the turnaround and expansion of Petro 1, we expect production for the second quarter 2016 to be 260 million pounds less than the second quarter of 2015. We expect the total costs of the expansion at our Petro 1 in Calvert City facilities to be between $355 million and $425 million, and will be funded through the $600 million revolving credit facility established with our sponsor Westlake Chemical. As of March 31, OpCo have spent $253 million for these projects. At the end of the first quarter, we had a consolidated cash balance of $179 million of which $171 million was held at OpCo and $8 million of partnership level. Long-term debt was $444 million of which $309 million was at the OpCo level and $135 million was at partnership. On April 27, 2016, we declared a quarterly distribution to unitholders of $0.3168 per unit. This increase in distribution of $0.88 per unit represents a 2.9% increase from the fourth quarter 2015 and continues as down the path to deliver consistent quarterly increase, targeting an annualized low double digit growth rate. Coverage ratio for the first quarter of 2016 was 1.11 times with respect to MLP distributable cash flow. Now I’d like to turn the call back over to Albert to make some closing comments. Albert?
Albert Chao: Thank you, Steve. The stable fee-based cash flow generated by our fixed margin ethylene sales contract with Westlake Chemicals forms the foundation for us to deliver long-term value to our unitholders. This enables us to successfully pursue dropdown transactions, organic growth and third party acquisition opportunities through increased distributions to our unitholders. Looking forward we are in a middle of our Petro 1 expansion at our Lake Charles facility, as well as preparing for our upcoming expansion at our Calvert City facility in 2017. The additional 350 million pounds of ethylene capacity as these two facilities should allow us to continue our targeted low double digit growth rate in distributions without any of dropdown transaction for the next several years. We will continue to assess future growth opportunities that will allow us to grow MLP distributable cash flow. Thank you very much for listening to our first quarter earnings call this morning. Now, I’ll turn the call back over to Ben.
Ben Ederington: Thank you, Albert. Before we begin taking questions, I would like to remind you that a replay of this teleconference will be available starting two hours after we conclude the call. We will provide that number again at the end of the call. Operator, we will now take questions.
Operator: Our first question comes from line of Mal Barnett from [indiscernible].
Unidentified Analyst: Hi. This is actually [indiscernible]. Thanks for taking the question.
Albert Chao: Good morning.
Unidentified Analyst: Good morning. On the IRS process which remains ongoing, is there any update on the timetable of when you expect to hear?
Albert Chao: In our conversations with both the IRS and treasury, they’ve not given any definitive timeline, but I do expect from conversations that we’ll see something very late summer and possibly as early as early fall. So let’s take in term of potentially by Labor Day. So there is been no definitive timeframe other than that general sense from them when we’ve talked to both treasury and the IRS.
Unidentified Analyst: And then, looking at the – honestly to say Steve, when you said that you can maintain a low double-digit distribution growth for several years without doing any dropdown at all. Is that I hear that correctly?
Steve Bender: That’s correct. As a result of the expansion both at our Petro 1 unit and our Calvert City unit will have the ability to be able to benefit from the added capacity, and with that contract structure that we have allowed us to continue to grow distributions because we have it growing footprint of capacity production.
Unidentified Analyst: Understood. And then, you know, WLK has been active in at least proposing transactions, you know Axiall has almost done a lot of attention recently may or may not happen that transaction in particularly or any of those considering. Do you see opportunities for additional drop down associated with those transactions that you would expect to participate in any way in any transaction or specifically this one is proposed?
Albert Chao: Well, we continue to look for ways in which to grow the production capacity and grow the distributable cash flow of the company. And so, without speaking to any particular transaction that part of our corporate development team is constantly in the process of doing. So well we don't have anything is specifically this morning that we can discuss certainly as you can imagine it’s an ongoing activity.
Unidentified Analyst: Got it. And then last question, it seems like it’s hard to get traction with the analyst community and the investment community given the size and given the WLKP is so different from other things, in many ways to think more attractive but it’s so different. Is there any sense that maybe Westlake just decides that this isn’t worth to hassle and take it back in, particularly given that the valuation is – it arguably be accretive or at least not dilutive to do so?
Steve Bender: I think your comments about the overhang related to the IRS and the broader overhang about commodity has had a significant impact on all energy-related or connected securities. And so you’ve certainly seen that would be a [indiscernible] and Index, and so I certainly think that as the industry works its way through a lot of these issues we’ll certainly see I think a more rational market, but in the meantime I think what you’ve seen here is the partnership continue to be able to grow its distribution and continue to be on that path.
Unidentified Analyst: Great. Thank you very much.
Steve Bender: You're welcome.
Albert Chao: You're welcome.
Operator: Thank you. And our next question comes from the line of Kana Taco from CT Capital.
Kana Taco: Yes. Good morning. I am sorry I missed the earlier call. More of a significant or theoretical question, I am just wondering why you decided to reduce your financial flexibility, your financial structure and raise your cost to capital by continuing to pursue the Axiall deal which at a time of economic growth that your end markets headed towards zero, is not less than zero, you're that only pursuing, but you're actually raising your own for it. It doesn’t make sense from a cost of capital or financial flexibility at least to put a profile point of view. What gives there? What’s your rationale here, I am not catching onto them?
Steve Bender: Well, as you can image, this is the call was with regard to our earnings of Westlake Chemical Partners and certainly I’d be happy to have a conversation with you on the Axiall matter or any other matter, but I don’t want to tie up the call for our earnings call one on this matter. So I think you’ve got my contact details are on the web and I’ll be happy to follow-up the discussion with you on any corporate development matter if you’d like to have it another time.
Kana Taco: I understand. So I missed the earlier call.
Operator: Thank you. And that concludes our question-and-answer session for today. I would like to turn the conference back over to Ben Ederington for any closing comments.
Ben Ederington: Thank you again for participating in today’s call. We hope you will join us for our next conference call to discuss our second quarter results.
Operator: Thank you for participating in today's Westlake Chemical Partners' first quarter 2016 earnings conference call. As a reminder, this call will be available for replay beginning two hours after the call has ended and may be accessed until 11:59 P.M. Eastern Time on May 10, 2016. The replay can be accessed by dialing the following numbers: Domestic callers should dial 855-859-2056. International callers may access the replay at 404-537-3406. The access code is 90231034.